Frederick Augustus Ronald Peter McMillan Bell: Hi, all. Thank you for attending this Q2 call for Elemental Altus. We'll just give another minute here as few people are still joining, and we should kick off momentarily. Right. I think that's -- I think we're ready to go now. So thank you, everyone, for coming in today on the 19th of August 2025 to run through Elemental Altus' Q2 financials. With us today, I've got myself, Fred Bell, the CEO; and David Baker, the CFO. In terms of an update on the company and where we're at I think, it's the same story we have telegraphed really for the last 2 quarters, which has been continuing cash build. We've paid down the company's debt. We've had record revenue for Q1 and for Q2, putting us in a very strong position. We also had a payment related to the mainstream previously that we received in April this year. It was just under USD 10 million equivalent, combined with the Korali-Sud royalty that started its first payments to us from Q1 onwards. So I think for both of those material events -- and puts us in a position today where we have between the credit facility and cash on the balance sheet, approximately USD 80 million that we can deploy both from cash on hand and credit facilities. And then also materially during the quarter, we had a new investor that came on the register in Tether Investments. And I think for -- in terms of their desire to grow the company and for us to continue to build out the portfolio, very strong backing from them to really deploy our capital and put the company in the strongest position. It was already in the strongest position it's ever been in, but puts us in the strongest position going forward in terms of our ability to progress acquisitions, and build the company forward. And I won't say more than that and I will hand over to Dave to run through the quarter's numbers and talk through some of the nuances in a bit more detail.
David Christopher Baker: Superb. Thanks, Fred. Yes. Excellent second quarter across all metrics. Adjusted revenue, $10.5 million. That's doubled year-on-year. Adjusted EBITDA of $8.8 million. That's up 150% year-on-year. I think more importantly, adjusted cash flows -- operating cash flows here at $14.4 million. That's up for about $1.5 million from this time last year. That's really reflective of our record Q1. We got that bulk first revenue from Korali-Sud that was well received in Q2, and this is really reflective of a strong production base, so nearly 3,200 GEOs in Q2, up 44%, and a record of GEOs of nearly 7,800 for H1. It's a record for the company. That puts us on track to hit GEO guidance of 11.6 to 13.2. That's up nearly 40% year-on-year at the midpoint. But importantly, with the gold price where it is, we are very happy to increase revenue guidance to USD 35 million to USD 40 million, and that's a record for the company. Korali-Sud, a lot of the growth today has been driven by Korali-Sud, it's already generated $9.1 million year-to-date in royalty revenue. On top of that, it's also triggered 2 milestone payments totaling $3 million. So it's a real -- an excellent contributor to the portfolio. Balance sheet is as strong as it's ever been since the beginning of the company. As of today, we have $30 million, $3-0 million in the bank and that alongside with our credit facility with National CIBC and RBC of $50 million undrawn gives us $80 million of liquidity, which I think is excellent for a company of our size. Really, these results are underpinned by the Cornerstone producing royalties. So let's talk about Karlawinda and Caserones. A couple of excellent quarters on our Cornerstone assets, over 32,000 ounces produced, Karlawinda in the quarter that achieved the upper end of their guidance of 117,000 ounces to June, which is excellent for them and for us. Most importantly, they had their expansion approved, that regulatory approval for that expansion, which gets some to 150,000 ounces of gold a year. That gives us a 30% uplift that we get a free carry on and yes, strong future upside for our royalty there. Yes, an excellent quarter at Caserones well. Lundin Mining have a maintained copper guidance of 115,000 to 125,000 tonnes of copper. We see some upside in these numbers. Lundin are talking to higher grades expected in Q2, driven by a strong [indiscernible] production. So we're very confident that they'll hit guidance there. I mean Caserones is just a wonderful cash flow contributor for the company. Alongside the Cornerstone assets, our other producing royalties are doing exceptionally well. Bonikro had a great quarter, so 23,500 ounces up from 17,000 -- nearly 18,000 ounces last year. Obviously, we now have the full contribution from Bonikro following the AlphaStream acquisition last year. Production is on track, expecting higher-grade materials in the second half of the year through 2027. So Bonikro is producing some pretty staggering numbers at these current gold prices. We had a higher-than-expected quarter for Korali-Sud, again, another excellent performer co-processing, and that was really driven by the ability to co-process materials. So blending Korali-Sud with Sadiola, that commenced in May. We really think that is going to be a serious contributor to the long-term nature of the Korali-Sud royalty. So $2.5 million, again, heavily weighted to Q1 because of all that revenue that we received in Q1, that was from 2024 production. But yes, has already -- Korali-Sud has already exceeded our expectations year-to-date. Wahgnion, we have still paused accruing revenue at Wahgnion while the government undertakes the external audit. We are in communication with management there and the external auditor, and we expect payment in 2025 from Wahgnion. These royalties they're translating, as you can imagine, into record financial outcomes. So in terms of the numbers, as I said earlier, adjusted revenue has doubled year-to-date to $10.5 million, translating to adjusted EBITDA of $8.5 million and operating cash flow. We did book high depletion and higher tax accruals as part of cleaning up the business. And so we booked those in Q2, but still managed to turn a small profit. And tax is higher in the period due to stronger revenues in the period as well. Behind these numbers, we put together a free cash flow bridge. So you can see that revenue plus Caserones, dividends -- Caserones dividends are there after tax. We've got higher tax outflows than quarter-on-quarter. Again, that's just due to stronger revenues and working capital, that's the timing of working capital reflects Korali-Sud inflows in the period, which really leads to that free cash flow of $9.7 million, showing really that scalability of the model that we have. If we step back and then look at how that's impacted the cash position. So we started the quarter with $4.8 million of cash in the bank, that $9.7 million of free cash flow plus the settlement that we received from Ming gets us to $24.5 million in the bank at the end of the quarter, so nearly $20 million of growth in cash through the quarter. And since subsequently, we've had royalty revenues come in. So we've now got $30 million in the bank as of today. This really does show through on our operating results here. I would just point out that we still do treat Caserones as a profit of associate, so that comes in the gain there. So that's the post-tax profits comes in as that share of profit from associate item. We also had a -- we have an investment in Aterian plc. We also use the same treatment -- associate treatment for Aterian. Given we've ticked down below 20%, we've reclassified that as an investment. So we recorded a noncash impairment of $1.46 million, but that will be a lot easier to monitor for us going forward. In terms of the results, the direction of travel is pretty clear. Adjusted revenue doubling year-on-year at $10.5 million, GEOs up 44% year-on-year to nearly $3.2 million. We do reiterate guidance of that 11,600 to 13,200 thousand ounces. And we have upgraded that revenue guidance using a $3,000 gold price of USD 35 million to USD 40 million for 2025. EBITDA growth is following exactly the same trajectory, up 155% year-on-year. These EBITDA and margins are at record levels for the company. And that growth is driven by scale, cost discipline and then combined with strong gold prices for this track record of sequential EBITDA growth through 2025. And this really does come through to the cash generation of the company. We are at this inflection point where this higher revenue is translating into cash flows. Those record 2021 revenues fall into 2022 operating cash flows and really shows that scalability of the model. Higher revenues is directly driving higher cash flows with that continued strong exposure to rising gold and copper prices, which we are completely unhedged. So we are, as a company and the strongest financial position in our history, supported by our long-term investors. As Fred said, Tether joined the register in the quarter, which is fantastic, and we're really supportive of what they're trying to achieve and the path of growth that we have ahead of us with Tether. We also have incredibly supportive shareholders, not [ least ] Paul Stevens, Adrian Day, Deutsche Ballotine Capital. Caserones target price not updated for today's updates, but price today was just over $2.43. So it's still plenty to go on the share price and the balance sheet is as strong it's ever even, $30 million of cash in the bank, 0 debt, and a fully undrawn $50 million facility for transactions. And so Frank I might pass back to you to run through the highlights, and then we can open up the floor to Q&A, which is available in the Q&A section of your app.
Frederick Augustus Ronald Peter McMillan Bell: Thank you, Dave. And look, I appreciate everyone. That was relatively rapid run through very efficient from Dave there of the numbers. And if anyone's got some follow-up questions after this, always welcome to talk through talk through those. I think the key aspect for the company is really when you look at it in the bigger picture, this was a company that started and I think our biggest hurdle in year 1 to year 4 was really lack of capital. And the fact that we have probably in our history, syndicated transactions worth I think 5x probably worth a combined $100 million, and that is a position that we're not in today, where if we saw those opportunities, we could progress them ourselves. So I think that's a key difference in terms of where the company sits when you look at the bigger picture versus where we have been historically with a team that has more experience than we have ever had. We've transacted across multiple jurisdictions across different commodities, many different counterparties and from exploration stage all the way through to producing assets. And so we're today in a place where we've got organic growth embedded in the portfolio. We have record cash on the balance sheet ability to deploy that cash as well. And I think one thing that we didn't touch on too much, but it's a good example from our portfolio, and that was the Laverton royalty that was acquired by Genesis in the quarter. And for us, that's been a really key development asset that we haven't been able to say a lot about because of the previous owner, indirectly [ Shandong ]. And I think now in the hands of a well -- very well run mid-tier Australian miner, I think Genesis. I think there's going to be a lot of progress on that royalty over the coming years in terms of adding value. So for us, good to see an asset like that, that's been in our development portfolio since 2021 really go into a good home, with a good operator in [indiscernible] and we should have some good news, though, from that over the next 12, 18 months. So look, I think that really summarizes it and open the floor to any questions.
David Christopher Baker: Thanks Fred. We can talk to a question from Adrian Day. Adrian, I hope you're doing well. There's a question, is there a cost to the unused line of credit? Yes. Yes, absolutely, Adrian. So there is a standby fee that's typical for these facilities. So our is 23% of the margin. So of the total margin on top of SOFR on our facilities at low end. So that's 2.75%. So we take 23% of that. So just less than a -- a bit less than 1%, a bit more than 0.5% on the unused line of credit. And the reason that, that is a cost for us, it really does allow us to get -- that's the cost of being actually and being be able to access that facility at a moment's notice. So that's a fully credit approved facility available to us. So there is a standby charge for that. So Fred, maybe from Brian MacArthur, can you go to when you expect the Diba milestone payments?
Frederick Augustus Ronald Peter McMillan Bell: Yes. And for the benefit of everyone else, this relates to our Korali-Sud royalty, which has been renamed from Diba with Allied Gold. And that went into production at the end of last year, we received our first royalty payments following Q1 and our second royalty payments now. That royalty also had some milestone payments associated with it. So we received the first one and we had some -- we actually had a second and third milestone payment related to commercial production. And then there is also going forward milestone payment related to hitting production thresholds. So I think we should have an update on that imminently. I think with Korali-Sud, we had some of those payments, along with the permits in Mali, took a bit longer from the end of last year to come through. And I think it was on the 5th or the 7th of May that Allied got permission for coprocessing there. which is really positive for the royalty because it means that they can blend the ore from our license with what they have at Sadiola already, which is a better result for the mine. It's a better result for us as royalty holders. It's a better result for the government. And so I think some of those calculations on the amounts and payments, I think there's a bit of a backlog there, but we should get all of that sorted in this quarter.
David Christopher Baker: Absolutely. Another question from Adrian, Fred, about the opportunities in the space and I think Adrian is referencing consolidation. So talking to the difference between the number -- some of the royalty companies that are in the $500 million range and then the gap to Triple Flag and Osisko at $5 billion.
Frederick Augustus Ronald Peter McMillan Bell: Yes. It's a -- look, it's an interesting comment. And thank you, Adrian. I think if you look back over the last 5 or 10 years in the royalty space, you've seen people like Nomad, Mavericks and more recently, Sandstorm who have sat in that sort of $500 million to $2 billion, $2.5 billion space. You have seen them all being consolidated, acquired and merged combined. And the result is there is enormous gap now between where I think most of the junior royalty companies are and where the really 2, what will be remaining mid-tiers in Triple Flag and Osisko sit. So look, I think there's a huge opportunity there, obviously. For us, we're very much -- we have the view that we have the ability with our strength of our balance sheet to both grow on an organic basis, but also looking at public and private portfolios where they make sense. And we have always done that throughout our company's history. And as the name says, Elemental Altus, we have done a merger in the past. So I think very open to where it makes sense. And I think that for us in the short term, we have a number of royalty opportunities that we've been very keen to progress but certainly keeping an eye on where we can do things that do make sense and move up into that gap that you alluded to.
David Christopher Baker: Perfect. Thanks, Fred. I'll do a quick 1 question from James Fraser on, are we owning interest on the cash balance? And if so, what percent? James, yes, absolutely. So we sweep all excess cash into an instant access account. And that jumps around with Canadian prime rates, but at the moment, about 4% we're getting on the cash balance. Fred, sort of we've got 2 questions, 1 from Pierce Lord, and relating to a larger question from Stefan Gleason on do we have any guidance or time line on the U.S. listing, any U.S. listing and how beneficial do you think that will be to accessing new investors, increasing liquidity on the stock, which is Pierce's question, et cetera?
Frederick Augustus Ronald Peter McMillan Bell: Thank you, Stefan and Pierce for those. I think, look, we have talked to this probably with both of you individually, but we've also had this question from shareholders and the management view has always been that the U.S. listing absolutely makes sense, and it's a matter of when, not if. So I think that you saw in our AGM, we had approval for a share consolidation that we included in those materials. And I think that for us, looking at that U.S. listing, it's -- I think we're probably the only one of our peer group that doesn't have the U.S. listing. And nowadays, that market accounts for the vast majority of trading in all of our peers. So it definitely makes sense, and we're working on progressing that. And when we can, we will definitely say something. But I think for us, that will be one of the key actions to improve liquidity as well moving forward.
David Christopher Baker: Perfect. -- question from Paul, Paul Renken. Is there any evidence of cost inflation accelerating across the portfolio? I can chime in, I guess, to start with, I guess, the view of the royalty model is that we are somewhat insulated from the costs at a mine level. Obviously, as long as the costs are't so high that it affects the overall underlying profitability of the mine. So I guess not directly. I would point that the only producing NPI in our portfolio is a little one of -- our little royalties on Mount Pleasant operated by Zijin, and that actually had a record quarter for us. Now small numbers, only a couple of hundred thousand dollars. But that actually, the only royalty we have linked to profitability had a record quarter on that front. So Clearly, at that operation, the rise in Australian dollar gold price is outpacing on the ground costs but obviously, it's going to different at every operation. And Fred, maybe there's a sort of higher-level question from [ J.J Sowers ]. Is there a take on the -- and maybe it relates to Tether as a shareholder. What's our take on the Trump administration revaluing gold and/or linking to future treasury bonds maybe as a [ real- world ] asset on the blockchain, some of the long-term view on gold and tokenized gold?
Frederick Augustus Ronald Peter McMillan Bell: Look, thank you, [ J.J ], for that question. I think probably too specific for us to answer with any degree of accuracy or certainty on this call. But it's a good -- it's probably a good point to mention that it's certainly, I think, attracted a lot of interest in Tether's involvement in the space coming in. They have been publicly on the record as a large purchaser of physical gold in the market. And this was the first move they have made into the mining space as such and into a royalty company. So look, for us, -- it's actually been -- I think it's been very positive to have someone with such an exposure to gold and desire to increase our exposure to fresh metals on the -- as our major shareholder moving forward and really with the ability to help the company grow, and they're coming in at a point where we were already going to hit record quarters in terms of the company's performance before the gold price and [indiscernible] so the combination then of the gold price and Tether's involvement, it's really put the company in a very strong position. And I think that it's interesting to see investors in that space starting to perhaps make a move over and increase our exposure in the gold space. So it will be definitely interesting to watch going forward. But for us, really focused on the day-to-day business of adding value through good quality royalty acquisitions and building out the portfolio. And I think as we as we have said in the last maybe 2 of these calls, I think we always knew we'd be in a very strong position coming into the first half, second half of this year as a company. And I think as we sit today, this is a great opportunity for us to really make some good quality acquisitions to build out the portfolio, work on improving liquidity that some of the shareholders mentioned with some specific plans on that front, and I think putting us in a very strong position moving forward.
David Christopher Baker: Perfect. Thanks, Fred. That is the end of the questions, no more questions. So maybe just hand back to you, Fred, to sum up.
Frederick Augustus Ronald Peter McMillan Bell: Look, thank you, everyone, for joining. And as ever. We actually do enjoy getting questions and calls from shareholders or investors say, please, if there was anything that you think of afterwards, feel free to drop us an e-mail or try and give us a call, and we'll get back to you as soon as we can. But thank you as well for your time today listening in, and wish everyone the best for the rest of the day.